Operator: Good day and thank you for standing by. Welcome to the Q2 2023 MasterCraft Boat Holdings, Inc. Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Tim Oxley, CEO [ph]. Please go ahead.
Tim Oxley: Thank you, operator and welcome, everyone. Thank you for joining us today as we discuss MasterCraft's second quarter performance for fiscal 2023. As a reminder, today's call is being webcast live and will also be archived on our website for future listening. With me on this morning's call are Fred Brightbill, Chief Executive Officer and Chairman; and George Steinbarger, our Chief Revenue Officer. Fred will begin with a review of our operational highlights from the second quarter. I will then discuss our financial performance for the quarter. Then I'll turn the call back to Fred for some closing remarks before we open the call for Q&A. Before we begin, we'd like to remind participants that the information contained in this call is current only as of today, February 8, 2023. The company assumes no obligation to update any statements, including forward-looking statements. Statements that are not historical facts are forward-looking statements and subject to a safe harbor disclaimer in today's press release. Additionally, on this conference call, we will discuss non-GAAP measures that include or exclude special or items not indicative of our ongoing operations. For each non-GAAP measure, we also provide the most directly comparable GAAP measure in our fiscal 2023 second quarter earnings release which includes a reconciliation of these non-GAAP measures to our GAAP results. We would also like to remind listeners that there is a slide deck summarizing our financial results in the Investors Section of our website. As a reminder, unless otherwise noted, the following commentary is made on a continuing operations basis. With that, I'll turn the call over to Fred.
Fred Brightbill: Thank you, Tim and good morning, everyone. Net sales, diluted adjusted earnings per share and adjusted EBITDA were all the highest for any second quarter in the company's history and it is our ninth consecutive year-over-year record-setting quarter. When compared to the second quarter of fiscal 2022, net sales were higher by more than 10%. Adjusted EBITDA grew by nearly 10% and adjusted net income per share grew by nearly 19%. During the quarter, strong operating results and diligent working capital management allowed us to generate the most cash flow from operations and free cash flow in the company's history. This exceptional operational and financial performance was enabled by our strategic focus on the consumer and through investments in people and operations. During the quarter, we continued to make progress in building much-needed dealer inventory ahead of the summer selling season. As of the end of the second quarter, dealer inventories are approximately 55% higher than the second quarter of fiscal year 2022 and about 20% lower than the second quarter of fiscal year 2019. We believe that business process and dealer network improvements we have implemented over the past few years will allow us to maintain more levels of dealer inventory than was typical in the past. Early boat shows results, recent retail sales data and industry commentary suggest a return to historical seasonal demand patterns. For historical context, approximately 70% of the annual powerboat retail sales occurred during the 5-month period from March to July. To date, both dealer and consumer demand remained resilient and dealer inventory and production plans position our dealers to capitalize on the boat show and summer selling seasons. Early boat show results are up for MasterCraft and Crest versus both last year and 2019 levels. As a result of the reversion to historical seasonality, we expect to have a clear picture on retail demand as we progress through the third and fourth quarters. We continue to closely monitor economic conditions and evaluate the potential impact on our business. Since last year, there have been no significant changes in our view of macroeconomic or other demand indicators and the associated implications for the upcoming summer selling season. We remain prudently conservative in our approach to wholesale production for fiscal 2023 and we have developed plans for a range of potential retail demand scenarios. Given the high degree of macroeconomic uncertainty and the historical cyclicality of our industry, we are committed to running the business in a manner that prioritizes strong performance throughout the business cycle. Guided by this philosophy, our intent is to maximize our fiscal 2023 financial performance while maintaining healthy dealer inventories. Moving on to supply chain. The general environment, including cost inflation and delivery disruption is improving with certain pockets of lingering risk expected to continue for some time. Tight supplies and longer-than-normal lead times in certain components, including those with upstream exposure to Asia, continue to intermittently affect our production schedules. However, we do not expect supply chain disruption to be a constraint on our full year production. The tireless efforts of our world-class supply chain team have enabled us to provide consistent production and capital-efficient inventory control. This cautious optimism reflects a welcome change from the incredibly challenging supply chain environment in the past 2 years. Our strong operating performance has resulted in record cash flow, driven by record earnings and diligent working capital management. We've built a fortress balance sheet that provides us with abundant financial flexibility. We are well positioned to pursue our capital allocation priorities, first and foremost of which is invested in growth. We are laying the foundation for future growth by making targeted investments and initiatives that will take advantage of the strong underlying secular industry trends. Let now briefly review some of the latest developments across our brand. Our MasterCraft brand performed exceptionally well by growing net sales to a second quarter record of nearly $109 million and expanding adjusted EBITDA margin by 80 basis points year-over-year. This tremendous result is due to the extraordinary efforts of the MasterCraft team and the continued success of MasterCraft operating model. MasterCraft's best-in-class powerful and clean engines and expanded entry and mid-priced product offerings have been very well received. MasterCraft has gained share in 6 of the last 7 months and remains the number 1 brand in the fastest growing and highest margin category in the powerboat industry. At Crest, net sales were up by more than 23% year-over-year. Continuing a trend of generating exceptional profitability. Crest achieved a gross margin of nearly 20% for the quarter. Since its acquisition in fiscal 2019, Crest has doubled net sales and expanded gross margin by 340 basis points. Crest has and will continue to add points of distribution to its dealer network, fulfilling a key element of its growth strategy. On the innovation front, Crest new all-electric pontoon boat, the current and newly redesigned classic series have both been very well received by dealers and boat show participants. Crest sales and earnings growth demonstrates the success of the Crest acquisition and highlights our value-enhancing growth strategy. At Aviara, net sales were up by more than 75% compared to the prior period, driven by a 48% increase in units and higher prices. According to the most recent all states reporting SSI market share data as of the rolling 12-month period ended September 30, 2022, Aviara increased its market share by 280 basis points in the 30- to 43-foot premium day boat category. Aviara continues to outpace all competitors, further solidifying the brand's position as the preeminent luxury devote. Looking ahead, Aviara will soon begin to launch innovative new models. These introductions will represent the next phase in Aviara's product evolution and will position the brand for continued revenue and earnings growth. I'll now turn the call over to Tim, who will provide a more detailed analysis of our financial results. Tim?
Tim Oxley: Thanks, Fred. We delivered another excellent quarter of financial performance. Focusing on the top line, net sales for the quarter were $159.2 million, an increase of $14.8 million or 10.2%. The net sales increase reflects higher prices, partially offset by slightly lower unit sales volume and higher dealer incentives. Incentives increased primarily due to greater floor plan -- floor planned financing costs driven by higher interest rates and recovering dealer inventory levels. When compared to the historically low amount in the prior year, discounting was also higher as we anticipate a return to more historical patterns of consumer demand and seasonality. For the quarter, our gross margin was 24% as we -- a decrease of 120 basis points when compared to the prior year period. Lower margins were primarily a result of higher costs for inflationary pressures, changes in mix, higher dealer incentives and increased warranty costs, partially offset by higher prices and improved production efficiencies. Operating expenses were $11.8 million for the quarter or 140 basis points lower as a percentage of net sales compared to the prior year. Turning to the bottom line. Adjusted income for the quarter increased 11% to $21.3 million or $1.20 per diluted share, computed used in the company's estimated annual effective tax rate, 23%. This compares to an adjusted net income of $19.2 million or $1.01 per diluted share in the prior year period. Adjusted EBITDA increased nearly 10% to $29.8 million for the quarter compared to $27.2 million in the prior year period. Adjusted EBITDA margin was 18.7%, beyond 10 basis points from 18.8% in the prior year period. Our balance sheet remains incredibly strong as we ended the quarter with nearly $190 million of total liquidity and including nearly $90 million of cash and short-term investments and $100 million of availability under our revolving credit facility. We also ended the quarter with 0 net debt. Strong earnings and favorable working capital management has translated to record cash flow from operations and free cash flow. Year-to-date, we have generated a record $79.9 million of cash flow from continuing operations were nearly 200% higher than the prior year period. Year-to-date free cash flow from continuing operations was a record $67.8 million or more than 210% higher than the prior year period. Our balance sheet positions us exceptionally well, provides us with ample financial flexibility to ensure sound operations through the business cycle and the ability to grow aggressively in alignment with retail demand. Given our recent operating performance, strong balance sheet and our positive long-term outlook, we believe our stock represents an outstanding value at recent prices. During the quarter, we spent approximately $4.8 million to repurchase nearly 225,000 shares of our common stock. To date, we have spent nearly 70% or $50 million program authorized in June of 2021. Cumulative activity under our share repurchase program provided an 8% benefit to our Q2 adjusted earnings per share. We expect to continue to opportunistically return cash to shareholders through the program while prioritizing financial flexibility and high return investments in the business that generate growth and long-term shareholder value. Looking forward, we are raising our guidance for the full year based on our strong performance and incremental retail demand visibility. We will continue to monitor the strength of retail demand and adjust our production plans as appropriate to maintain healthy dealer inventories. Our guidance continues to reflect the potential for a range of retail demand scenarios as we approach the all-important summer selling season. For full year fiscal 2023, consolidated net sales is now expected to be between $620 million and $640 million, with adjusted EBITDA between $111 million and $118 million. And adjusted earnings per share of between $4.40 per share and $4.66. We continue to expect capital expenditures to be approximately $30 million for the full year. For the third quarter of fiscal 2023, consolidated net sales is expected to be approximately $158 million and adjusted EBITDA of approximately $26 million and adjusted earnings per share of approximately $1.04. Despite the dynamic business environment and macroeconomic uncertainties, we are confident in delivering strong financial results for our shareholders. I will now turn the call back to Fred for closing remarks.
Fred Brightbill: Thanks, Tim. Our business has performed extremely well through the first half of fiscal 2023, delivering record financial results which have exceeded expectations. Our diligent approach in business planning and our best-in-class operating model have allowed us to operate efficiently and have provided us with the confidence and agility to respond to a range of potential retail demand scenarios. A robust portfolio of innovative products, healthy dealer inventory levels and our flexible production capabilities position us to capitalize on the boat show and summer selling seasons. Despite significant macroeconomic uncertainty, we remain on track to achieve the second best year of financial performance in the company's history. We look forward to delivering strong results by prioritizing resilience throughout the business cycle while maintaining a key emphasis on the pursuit of long-term growth opportunities and thereby generating exceptional shareholder returns. Operator, we may now open the line for questions.
Operator: Certainly. But I'd like to note a correction, Tim Oxley, CFO, with our beginning host today. [Operator Instructions] And our first question will come from Joe Altobello of Raymond James.
Joe Altobello: So a couple of questions on the guidance. I guess, first, if you look at the top line, you beat the sales guidance that you gave us 3 months ago by about $9 million, raised the full year by $22 million, at least at the midpoint. Is that on a better demand outlook? And maybe help us out? Is that coming from more units or more pricing?
George Steinbarger: Yes. It's George. So I think when you think about the retail demand environment, I don't think that our overall view of industry retail has changed. But obviously, we've got an additional 3 months of visibility in terms of how our brands have performed at retail. We're continuing to take market share. So I think that is a factor in how we have adjusted our guidance to reflect our confidence in our ability to deliver retail against a challenging environment. With that said, we obviously still have an eye out to that March through July period which accounts for 70% of retail. So we still are being very prudent and cautious with our production plan and our guidance gives us the flexibility to modulate our retail -- I'm sorry, our production to make sure that we are achieving returns and healthy inventory levels that we've committed to providing both our dealers and our brands.
Joe Altobello: And also, you're still looking for a sales decline in your categories this year of, call it, 15% to 20%. Is that correct?
George Steinbarger: That's correct. We're still kind of -- from an industry standpoint for our fiscal year. We still expect retail to be down in that mid-teens level.
Joe Altobello: Okay. And then on EBITDA, the beat was a little bit better than the guide. So maybe tell us where the incremental margin pressures are coming from in the second half.
Tim Oxley: Sure. The floor plan financing costs are kind of number 1 as the interest rates continue to grow as we are successful and restocking the dealers. That's the big one. Another important one is a mix, we -- as George mentioned, we try to build what's retailing and we've introduced some new NXT models that have been very successful in the marketplace. So we're mixing down to some of our smaller models as a result.
Operator: And our next question will come from Craig Kennison of R.W. Baird.
Craig Kennison: [Indiscernible] talk about the promotional environment and maybe what the trends you're seeing across your 3 main brands?
George Steinbarger: Craig, you kind of broke up there for a minute. I caught the last piece of that. Would you mind repeating the question?
Craig Kennison: Sure. Sorry about that. My question is on the promotional environment. Would you please comment on trends across your 3 brands?
George Steinbarger: Yes. Sure. So given what we are seeing is kind of a return to more retail seasonality with that, we've also seen a return of higher levels of discounts, certainly higher than we've seen in the last past couple of years. And so that's pretty consistent across our brands, probably not as much as Aviara given where that brand is positioned. But certainly, with our Crest pontoon product and the price points that we have there, we are seeing higher levels of promotional activity and then also in the Ski wake category, we have seen a return of promotions. With that, we try to be good partners with our dealers. So we're really working with them to help how do we help them drive retail. And so that's a combination of not just us providing promotional activity or support for our dealers but helping our dealers get more aggressive with pricing. And so far, they've been very receptive to that. And I think that's very much our approach to how we want to work with dealers and be very dealer-centric as much as we are consumer-centric.
Tim Oxley: Craig, I'd like to add that while the promotional environment is higher than the last couple of years, it's not back up to historical levels. So we're comparing to a period where it's kind of an all-time low.
Craig Kennison: Yes, that's very helpful. And then just on the floor plan issue, a lot of dealers are struggling with the fact that there's interest cost now on all of their inventory. Just wondering what the pushback has been among dealers to take on inventory? And whether maybe you have the infrastructure in place to be more demand-driven and operate with less inventory in the channel and keep that floor plan expense down?
George Steinbarger: Yes. So I'll answer the latter part first. We absolutely have the flexibility and we believe that we can operate our businesses and take market share and get the dealers the product they need while maintaining lower levels of inventory in the channel versus historical levels. We think the dealers very much view that similarly as we do. And so that's very much built into our financial plan and how we manage the business every day. We're tracking retail activity every day, every week. And so we're making sure that our production is getting inventory into the markets and the dealers where it's retailing. And as I mentioned previously, we're very much focused on how do we help our dealers retail product, not just pushing them wholesale inventory. In terms of the floor plan financing, I mean every OEM programs are different but with our free flooring upwork to pro-flooring support that we provide, right now, we're not getting any pushback from our dealers in terms of taking product. And so we feel very confident that our programs are structured in a way that really allows the dealer to minimize the stocking risk throughout the selling season and allows us and positions us to be able to get the inventory to the dealer to maximize on our retail opportunities.
Craig Kennison: Just to follow up on that. How long does the free flooring last for dealers? And how does that flow through the income statement? Is that a contrary revenue or is there a cost?
Tim Oxley: Craig, correct. It is contra-revenue and every boat has at least 6 months of free flooring. And if it's bought early in the season, say, July, it will get up to 9 months; so to between 6 and 9 months. There's also a cash alternative which has taken advantage of primarily in Q4 of our fiscal year.
Operator: And our next question will come from Drew Crum of Stifel.
Drew Crum: Maybe just sticking with the brand commentary and specifically on MasterCraft, maybe a little more detail on the unit sales performance down 12% year-on-year in the quarter. And any commentary in terms of what you're seeing at retail in terms of consumer demand. And then separately, on Aviara, can you talk about how the brand is tracking relative to some of the financial targets you had set out for the fiscal year?
George Steinbarger: I think from a unit perspective at MasterCraft, Drew, we have gone back to a more level-loaded production schedule throughout the year. That's a big part of the efficiencies that we get in manufacturing. So I think some of the year-over-year comparisons are challenging, especially when you compare to last year and some of our production was more dictated by supply chain and product availability than what we would consider more of a normal manufacturing cadence. So this year reflects a more level-loaded production versus what we expect to ship throughout the year and that's going to influence the year-over-year comparisons but nothing we would note there from a negative perspective, nothing from a retail perspective that's driving that more so than just manufacturing efficiencies. And then the second part of your question.
Fred Brightbill: I'll take that. Aviara is on track. This year, we expect them to at least breakeven and that's a significant improvement from the past year and a stair step toward where we see that brand in the future. So there may be variation month-to-month but certainly quarter-to-quarter and overall for the year, we see steady opportunity to continue to improve the margin and profitability.
Tim Oxley: And a significant improvement over the prior year.
Drew Crum: Got it. Okay. Very helpful. And then maybe 1 for Tim. Tim, you talked about some record cash flow metrics. Any notable call-outs in the quarter? And what should we expect in the second half of the year for cash flow?
Tim Oxley: I think you're going to continue to see some improvements in the working capital partly its a result of supply chain, greater supply chain reliability, if you will but stock going to be as much as you saw in Q2. But it's just to be a continuing theme for us. So we generate strong cash flow and that's going to continue in the second half.
Operator: Our next question comes from Eric Wold of B. Riley Securities.
Eric Wold: A couple of questions kind of follow-up on what's been asked so far. I guess, you made the comment that you're kind of watching inventories and kind of expect to be a little more efficient with inventory and possibly lower inventory levels. I think you said you're about 20% below inventories where you were in '19. Is this the right level here? Or what do you think the right kind of percentage decline or lower level from '19 is the right level going forward to be efficient in dealerships?
Fred Brightbill: Can I maybe respond to your question slightly differently but hopefully tells you how we think about it, how we look at it. We estimate what we think retail demand is going to be, we back into what we think is an appropriate level of inventory based on turnover and based on model-by-model mix. And that's the way we drive what we think is the right level. Now we certainly can compare to '19 or '20 or any other period but that's not the way we set our goals. We set our goals based on looking forward and our expectation of retail sales and overall industry trends and segment trends. So in that regard, we're getting very close to where we want to be at MasterCraft and probably in a very good shape in the Crest brand. So I -- the other thing I think that's important to consider is we've expanded distribution significantly in those additional points of distribution, take additional inventory to support across the brands. So when you merge that all together, the key is that we expect to turn inventory at our dealers at a much higher rate than we have in the past.
Eric Wold: Got it. That's helpful. I guess just last question. You mentioned some of the pressure on margins is mix as you've introduced some lower-priced NXT models based on where you're seeing demand. Maybe talk a little bit about what other kind of demand drivers you're seeing in terms of where consumers are shifting their purchasing? Are they going towards lower models kind of overall? Are they going to less options? I guess maybe kind of get a sense of is that the only indication of where you're seeing maybe some pressure on spending. Or are there others as well?
Fred Brightbill: Go ahead, George.
George Steinbarger: Yes. What I would say, we're not seeing a real change in the consumer habits in terms of options and whatnot. I think part of it is in our NXT portfolio, we've previously had 3 models in within the last 12 months, we've added 2 incremental models. So part of it is just as we level load our production and try to make sure that we're getting those new models into the marketplace into the consumers that are demanding that new product that is partly driving the mix towards some of the higher percentage of NXT production relative to prior years. But we're seeing pretty good -- very strong ordering patterns throughout the portfolio, both at our premium X line all the way through our midline and NXT models. So -- and the consumers continue to option up the boats and put different features on. That being said, we are seeing a higher percentage of stock boats. The dealers are ordering more boats that are going into stock inventory versus the last couple of years, we had a high percentage of retail sold boats being ordered where the customers were ordering the boats, stocking them out to their particular needs. And when you have a higher percentage of retail sold boats you tend to see more options, more higher-margin type of option selected versus the stock boat. So it's really less about what we're seeing from the consumer and more about just the mix of retail sold to a consumer retail orders which is consistent with kind of past seasonal type of patterns.
Fred Brightbill: [Indiscernible] sometimes you have a segment mix going on with Crest versus MasterCraft that can impact margins as well as -- again, just a reminder, in the model mix and we refreshed the NXT and the XT product offering. And so those have been doing very -- refreshed and expanded. So those have been doing very well. And then in some other cases too, in the COVID era, we were able to constrain, if you will, the mix of models based on our ability to managed throughput. And now we're much more responding to true retail demand. So there's some reversion there in some models there that we've constrained in the past that there's pent-up demand for.
Operator: And our next question comes from Michael Swartz of Truist.
Michael Swartz: Just maybe a quick question on -- I think you mentioned that NXT is kind of margin dilutive in the back half of the year. But I think if we go back a couple of years, the commentary was there was no real difference between kind of the premium MasterCraft and the NXT sub-brand, if you want to call it that. So I guess has something changed in that margin relationship between the 2? Or is this totally a commentary just around kind of content or attachment rates?
Tim Oxley: It's really content. The NXT models don't have the same level of options available to them. So when those are ordered because we have very healthy margins on the options they tend to have on a base-boat basis, it's comparable. But when you add the options in, that's when the margin erosion comes about. It's not terrible but it's less.
Fred Brightbill: And Mike, I would just comment, we have competitors that are being very aggressive in terms of pricing. And so it's very important for us to make sure we content these models so they can compete with that pressure.
Michael Swartz: Okay. That's helpful. And that kind of leads into the next question. I think, Fred, you had made comments just on maybe what you've seen at some of the early boat shows. And I think you said you're up both year-over-year and versus 2019 levels. But just a clarification on that. Is that in units? Or is that in dollars? And then maybe just clarify a little bit on the -- some of the discounts or incentives or rebates that are being offered at some of these shows. Is there any way to quantify maybe the level of discounting this year versus 2019?
Fred Brightbill: Well, the first comment is, with the boat shows, that's with regard to units. That's why we track those -- we track amongst it 2-week window after the end of the show. So we're giving you the results from those shows that we've had -- the shows have taken place and we've had a couple of weeks after to finish up closing leads. So that was one part of your question. And the second part, George?
George Steinbarger: Yes. In terms of promotional activity, I think, as Tim mentioned earlier, while we're certainly seeing higher promotional activity this year versus the last 2 years compared to '19, we're not seeing -- we're not back to '19 level of promotional activity. If you recall, we ended '19 with heavy inventory which resulted in heavy promotions. And I would say as a whole, we're probably not back to that level. But I think certainly, our expectation is that the competition will get more aggressive as we get into the retail selling season, depending on what happens in the macro-economic environment and our guidance and our plan provides us the flexibility to appropriately adjust our level of discounting to make sure that we are appropriately taking share where we expect to. So -- but I would say it's still lower than where it was in 2019.
Tim Oxley: Sure. If I had to put a number on it, I mean Q2, a combination of retail rebates as well as additional floor plan cost probably would be a headwind of about 150 basis points if I were to drive a number.
Michael Swartz: Okay. And I assume that's a year-over-year [ph].
Tim Oxley: That is correct.
Michael Swartz: Okay. And then just final question for me, just more of a house -- maybe a housekeeping question. In the second quarter, I think there was a pretty big drop in OpEx dollars. Was there something timing-related in that? Or was this kind of the new run rate that we should be thinking about going forward?
Fred Brightbill: The estimate of capital expenditures for the year hasn't changed. Since that the...
Michael Swartz: No, no, no. I'm sorry, not CapEx operating expenses. So SG&A and sales and marketing.
George Steinbarger: There is some seasonality there, Mike. Obviously, we've got a return to boat shows. So you're going to see some higher operating, especially on the sales and marketing side in the second half of our year as we kind of go back to boat shows, travel expenses supporting the port -- boat shows, those types of expenses are going to be more back-end loaded or second half of the year loaded as an example. So I would expect to see higher levels of operating expense in the second half of the year versus the first half.
Operator: And I'm showing no further questions. This concludes today's conference call. Thank you for participating. You may now disconnect.